Operator: Good day and thank you for standing by. Welcome to the BMTX Fourth Quarter and Full Year 2021 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Bob Ramsey, CFO. Please go ahead.
Bob Ramsey: Thank you, Jerome, and good morning, everyone, and thank you for joining us for BM Technologies Fourth Quarter and Full Year 2021 Earnings Call. Our earnings release and investor presentation are both posted on the Investor Relations page of the company's website at ir.bmtxinc.com. Our investor presentation includes important details that we'll be walking through on this morning's call, and I encourage everyone to pull up a copy. Before we begin, I would like to remind you that some of the statements we make today may be considered forward-looking. These forward-looking statements are subject to a number of risks and uncertainties that may cause actual performance results to differ materially from what is currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation and we undertake no obligation to update these forward-looking statements in light of new information or future events, except to the extent required by applicable securities laws. Please refer to our SEC filings, including our Form 10-K and 10-Q, for a more detailed description of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. This morning, I'm joined by BM Technologies' Chair and CEO, Luvleen Sidhu. At this time, it's my pleasure to turn the call over to Luvleen. Thank you.
Luvleen Sidhu: Good morning, everyone. Thank you for joining BM Technologies Fourth Quarter and Full Year 2021 Earnings Call. Joining me today on the call is Bob Ramsey, our CFO; and also joining us is our COO, Bob Diegel, who is on the line and available during the Q&A section if needed. We are thrilled to be sharing with you our record Q4 and full year results and also highlight our great accomplishments over the last year. Before we get started, I wanted to also acknowledge that we announced yesterday, a noncash restatement of our financials related to severance awards granted by Customers Bank to certain employees and executives of BMTX in connection with its January 4, 2021, divestiture of BM Technologies. These awards were reported in our company's filings, but the associated expense was not recognized by BMTX because it was considered an expense of Customers Bank since they made the award. BM Technologies' management and Board were not involved in the granting of these awards. However, upon further analysis of technical accounting principles, the company determined that this noncash share-based compensation expense related to these customers bank granted severance awards should be included in BM Technologies' stand-alone financials. I want to emphasize that this correction has no impact on the company's previously reported revenues, core EBITDA and cash balance, assets or equity and no impact on the company's operations or its underlying business fundamentals. Bob Ramsey will share more details shortly. So now on to more exciting matters. For those joining us for the first time, I wanted to provide a very brief overview of who we are. BMTX is one of the largest digital banking platforms and Banking-as-a-Service providers in the country today. We are on a mission to financially empower millions of Americans by providing a more affordable transparent and consumer-friendly banking experience. We were one of the first neo-banking fintechs to go public last year, are one of the first to have a profitable business model, and are now among the first fintechs embracing a bank charter to create an innovative fintech bank with a sustainable, profitable business model into the future. We pursue a B2B2C and a Banking-as-a-Service strategy, which allows us to acquire bank customers at low cost and at high volumes. Today, we are acquiring customers at less than $10. This provides a tremendous competitive edge for us relative to not only traditional banks, but also to most challenger banks, which are having to spend an exorbitant amount to acquire a bank customer. Today, we are leveraging our B2B2C and Banking-as-a-Service strategy in 3 main verticals. The first being our higher education vertical, where we have relationships with approximately 750 campuses across the country, which allows us to touch 1 in every 3 college-bound students and introduce them to BM Technologies and offer them a choice to open a BankMobile Vibe checking account through our partner bank. The second vertical is our Banking as a Service business. Through our proprietary API-driven Banking-as-a-Service platform and our white label interface, we are able to help fintechs and brand launched fully branded financial services products to their customers and to their employees at a fraction of the cost and at a fraction of the time it would take them to roll this out on their own. Our offerings provide them with a strong point of differentiation that leads to attracting new customers, building greater customer loyalty, adding new revenue streams and accessing data to provide an even more personalized experience to their customers. Additionally, we manage the entire program end-to-end and also provide back-office banking operations, compliance, fraud and risk management and customer service support, which is an important differentiator and a competitive edge in the Banking-as-a-Service space. Our vast vertical is best exemplified today by our partnership with T-Mobile and with the launch of our checking account product, T-Mobile MONEY. We continue to expand and significantly grow this relationship. Lastly, our niche direct-to-consumer vertical is our most nascent vertical. We continue to have high conviction in the market need and value in executing targeted direct-to-consumer strategy to underserved affinity groups. This will include continuing to focus on an employee demographic as we have talked about before, but we'll extend beyond that to other attractive segments. More to come on this over the next 6 to 12 months. And overall, we continue to make solid progress in all 3 of our verticals. From a financial standpoint, our vision continues to be to create a company with a market cap of $500 million to $1 billion over the next 3 to 5 years by executing on the strategy that we've laid out and building upon the strong foundation we already have. So let's get started. Flipping to Slide 4. I am delighted to report to you record results for the fourth quarter and full year 2021. We are pleased to report Q4 2021 revenues increased 46% to $25.3 million, up from $17.3 million in Q4 2020. 2021 full year revenues increased 41% to $94.6 million from $66.9 million in 2020.  Additionally, Q4 core EBITDA increased over 400% to $7.8 million from $1.5 million in Q4 2020, and full year 2021 core EBITDA increased 625% to $28.6 million from $3.9 million in 2020. Q4 core earnings were $3.1 million or $0.26 per diluted share compared to a loss of $2.2 million in Q4 2020. 2021 core earnings were $10.9 million or $0.92 per diluted share compared to a loss of $9.9 million in 2020. Lastly, we continue to show strength in new account originations, opening approximately 440,000 new accounts in 2021. Moving on to Slide 5. You can see that our average service deposits totaled $2 billion in Q4 2021, a 111% increase compared to Q4 2020. Average new business service deposits increased over 200% to $1.3 billion compared to Q4 2020, which is about a $900 million increase. As a reminder, our new business segment includes our Banking as a Service and niche direct-to-consumer banking verticals. In our student business, organic deposits -- and also as a reminder, these are deposits that are  above and beyond any school disbursement. These organic deposits increased 17% year-over-year to $2.2 billion for the 12 months ended December 31, 2021, indicating strong primary banking behavior. Additionally, debit card spend was $777 million in Q4 2021, a 14% increase compared to Q4 2020. And new business debit spend increased 35% compared to Q4 2020. Lastly, in the higher education vertical, we dispersed $13.4 billion in refunds to students for the full year, of which $1.8 billion was deposited into BankMobile Vibe accounts held at our partner bank. Let's move to Slide 6. We continue to see strong performance in the overall business. Our revenue per 90-day active account increased 39% year-over-year to approximately $188 in 2021. The strong revenue per account metric is driven by healthy average balances and spend across the portfolio. Again, our CAP, or customer acquisition cost, remains low at less than $10, demonstrating our strong margin on a per account basis. Again, we couldn't be more excited about our record financial results for the fourth quarter and full year 2021. I will now pass it on to our CFO, Bob Ramsey, for some additional financial details.
Bob Ramsey: Thank you, Luvleen. The 39% year-over-year growth that Luvleen referenced has really been driven by both strong growth in deposit balances as well as spend in both our higher education business and the new business vertical. The tailwind from stimulus in 2021 is evident in the first half of the year. But the typical seasonality in the higher end business is also evident with seasonal peaks and spend in the first and third quarters and lower spend in the second and fourth. Turning to Slide 7. You can see the debit spend increased 14% from the fourth quarter of 2020 to the fourth quarter of 2021, and average service deposits increased 111%. The increase in total disbursements from the fourth quarter to fourth quarter was approximately 56%. And taking a step back to exclude a little quarterly timing volatility, disbursements increased on a year-over-year basis for all of 2021 by 15%. Turning to Slide 8. I want to take a minute to discuss the restatement that Luvleen already referenced. In connection with the January 4, 2021, separation from Customers Bank,  Customers made severance awards of shares of the BMTX that it had received as merger consideration to certain employees. We disclosed the award but the associated expense was not recognized previously in our stand-alone financials because it was considered an expense of Customers Bank as Customers have made the award after the divestiture closed. In connection with the preparation of our year-end consolidated financials, we did determine that based on the technical accounting application in U.S. GAAP that noncash compensation expense related to these awards should be included in our financials even though we did not make the awards. As a result, we've concluded that our previously issued financials for the first 3 quarters of 2021 need to be restated to reflect the appropriate accounting of those awards. Now I want to emphasize that this restatement is very narrow in scope. It only touches the noncash compensation expense of the company. It has no effect on the company's previously reported revenues, EBITDA, cash, total assets, total liabilities, total equity, net working capital or cash flows from operations, investing activities or financing activities. Similarly, this correction has no impact on the company's operations or its underlying business fundamentals. Our earnings release and slides do reflect the restated amounts. And I would point you to Slide 16 in the appendix of our investor deck, which was filed this morning for additional details that point to exactly the amounts and geography that the restatement touches. On Slide 18, you can see here that our revenues grew in 2021 by an impressive 41% year-over-year to $94.6 million. Our disciplined expense management resulted in a much more modest 5% increase in our core expenses to $66 million. The strong revenue growth, combined with expense discipline, yielded an impressive $24.7 million increase in our core EBITDA to $28.6 million, which I'll also remind everyone exceeded our full year guidance. I'd also note that during 2021, we grew the cash on our balance sheet by approximately $20 million and paid off just over $5 million of debt. With that, I'll turn it back over to Luvleen to discuss Slide 9.
Luvleen Sidhu: Thank you, Bob. On Slide 9, I would now like to provide you with a few key accomplishments and highlights of 2021. First, let us not forget we were one of the first neobanking fintechs to successfully go public in 2021. We finished the year with strong performance and exceeded guidance with EBITDA increasing over 600% year-over-year and revenue increasing over 40%. On top of this, our average deposits grew over $1 billion. Additionally, we announced the signing of a definitive agreement to merge with First Sound Bank, a Seattle, Washington-based business bank, which was a major step forward in executing our vision to create a disruptive fintech bank. We are joining the likes of a few other innovative fintechs in the marketplace that have taken a similar step of combining a fintech with a charter, such as Square, LendingClub, VORO and SoFi. Similar to these other fintechs, we believe this is a critical step in order to create a sustainable, profitable company with numerous growth opportunities in the future. We recently submitted our merger application and are working through the regulatory process as we plan for the merger. We expect the merger will close sometime in the second half of 2022. And we are excited about our opportunities as a chartered fintech bank. Next we continue to expand our Banking as a Service business. For example, we continue to expand the product and features of the T-Mobile MONEY account. T-Mobile MONEY customers can now use True Name by Mastercard, a feature that as customers display their chosen name on their T-Mobile MONEY debit card. Additionally, T-Mobile MONEY checking account customers can also now open a savings account. We are also proud to share that BMTX and T-Mobile were selected as Best FinTech Partnership at Finovate 2021, one of the leading fintech organization. For the innovation we together have demonstrated through the launching of the T-Mobile MONEY checking account. Lastly, our Banking-as-a-Service pipeline remains strong, and we still aspire to bring on board 1 meaningful significant [BaaS] partner every 12 to 18 months. We also continue to demonstrate growth in our higher education business. In addition to dispersing $13.4 billion in refunds to students for the full year 2021 and opening several hundred thousand new student accounts, we also continued to grow our B2B side of the business and added 16 new colleges and universities to our roster through December 31, 2021, providing over 83,000 additional students access to BankMobile disbursement and the BankMobile Vibe checking account. In addition, we signed 4 colleges and universities up for our new vendor pay offering, which increases stickiness with our schools and even provides us with a small revenue generation opportunity. Lastly, we are preparing for a credit product rollout to non-enrolled or graduated students over the next 6 to 12 months to drive stronger engagement and customer lifetime value. Next, on Slide 10. I covered this last time, and the point here is that we continue to have tremendous growth opportunities in front of us. In our student business, we continue to work on expanding the number of college relationships that we have, which gives us access to more students who we can potentially convert to bank account customers. We are also investing in marketing and product enhancements to drive more bank account adoption and retention. With regards to existing Banking-as-a-Service partnerships, we continue to enhance our product offering for T-Mobile MONEY. We also continue to work on our pipeline for new partners. We are a bit picky and choosy with who we want to work with and at this time remain committed to working with larger brands that can bring scale.  Lastly, we are also open to exploring possible strategic M&A opportunities where 1 plus 1 can equal 3 or more. The latest example of this is our announced merger with First Sound Bank. On Slide 14, we reiterate that we want to continue expanding our product offerings so we have the best-in-class digital banking platform that includes banking, lending, advice, crypto, investing and insurance. We will keep you posted as we continue to add new products and services over the next 6 to 18 months. On Slide 12, I would like to end by summarizing our key investment highlights. We continue to share record results with core EBITDA up over 600% year-over-year and revenue up over 40% year-over-year. We have an established customer base with approximately 2 million accounts. We had solid account growth and opened approximately 440,000 new accounts in 2021. We demonstrate deep customer engagement. Our revenue per account increased 39% year-over-year to approximately $188 in 2021, driven by higher average balances and spend. We have strong existing partnerships with approximately 750 university partners and T-Mobile. We have developed a proprietary Banking-as-a-Service platform, which is API-driven and ready to roll out quickly and integrate with partners easily. We have a very attractive valuation, which today is at a deep discount relative to both private and public peers. And lastly, we couldn't be more thrilled and excited about our growth prospects once our merger is complete, and we become a true fintech bank. Once again, I want to thank our investors and shareholders for their continued support and also to all of the BMTX team members whose passion and dedication makes all of this possible. Operator, we would now like to open the line for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Mike Grondahl with Northland Securities.
Mike Grondahl: First question, just -- anything onetime in revenues or adjusted EBITDA for 4Q? I know a couple of quarters ago, there was like some development fees and whatnot. Just trying to understand if there's anything onetime.
Bob Ramsey: Yes. So I'd be happy to take that one, Mike. There's really not anything onetime. We have said that we do have in our revenues at times some development-related revenues and that they are lumpy, but they are certainly recurring and are not onetime in nature. I would tell you that in the fourth quarter, there was a little bit of that. It was less than $1 million, but I would not characterize it as onetime. I would point you to the reconciliation that we have that calls out what we consider to be our core earnings and EBITDA. And that does exclude what is onetime in nature. There was about $65,000 in merger-related expenses that I would call [not] onetime, but that would be it in the quarter.
Mike Grondahl: Fair enough. And then roughly a year ago, you guys had 3 RFPs, I think. There was a large grocer, a big-box retailer and an international bank. Are those still in the pipeline? Did they fall out? I think you guys had said you thought you were going to get one in 2021. Just an update there would be helpful.
Luvleen Sidhu: Sure. As I said, Mike, we have a very strong pipeline. We don't like to call out individual sort of companies or -- because these are actually very secretive in nature because these brands, et cetera, work really hard to create differentiation. That being said, we've talked about how the life cycle of closing these tends to be longer in nature, given what strategic priorities and how much emphasis that these larger brands put on this. And so it's a very much a heavy diligence process. All of those opportunities are still in the pipeline, and we're very optimistic that we will have the opportunity to bring some good news to the market soon.
Mike Grondahl: Got it. Anything to call out in your new business category, sort of marketing that was employed or -- anything that keeps pushing that strong growth that you can help us kind of think through?
Luvleen Sidhu: I think in general, we're constantly innovating and enhancing both marketing and our products. So there's nothing to call out individually, but sort of the importance of keeping our branding, our positioning, our value proposition fresh, on something new to look forward to, our product enhancement. These are all things that the product and marketing teams actively work on daily to make sure that we're bringing the best product to market and at the constant evolution, constant iteration and constant matter of innovation that we hold very closely and are continuing to pursue.
Mike Grondahl: Got it. I'll ask one more and then jump back in the queue. In the press release, I think you guys said for '22 that you'll meet or exceed the consensus estimate for adjusted EBITDA of $30 million. You guys did $28.6 million in 2021. Do you guys consider that $28.6 million sort of core? And I'm just trying to think through the growth in 2022 -- or is the core number really closer to $25 million just because some of the development fees and stuff that you had in 2021? And that -- the question is just in relation to how to think about the growth.
Bob Ramsey: So I'll take that one, Mike. So I do think we consider the EBITDA that we had in 2021 to be core. We actually call it core EBITDA and strip out anything we consider noncore. The development-related fees are absolutely a core recurring piece of our business. And so I would certainly leave that in there. We did have a tailwind from stimulus in the first part of 2021. I think that is still core and there were mitigating that challenges at times as debit spend in 2020 certainly dropped. But all that is core to our business. We did say that we expect to meet or exceed the consensus number. I think full year numbers may depend on when the First Sound Bank transaction closes because as we pivot to becoming a bank, I think there will be different metrics that are sort of evaluated EBITDA tends to be more fintech than bank focused. But we feel very good when we look at the consensus numbers that are out there right now that we'll be able to meet or exceed those numbers.
Luvleen Sidhu: Yes. And I just want to emphasize as well, that, as Bob said, there's some uncertainty around the timing. We're still very optimistic in the latter half of this year that we will be able to successfully execute on the merger. And I do want to emphasize that we do continue to believe strongly that we're building a company for the future that has very sustainable and profitable. And we do expect that the merger will be significantly accretive to the combined company's revenue, EBITDA and earnings trajectory over the next 1 to 3 years.
Operator: And your next question comes from the line of Michael Diana with Maxim Group.
Michael Diana: Luvleen, could you remind us of the benefits and/or changes in the business model from once you become a bank? And Bob, could you -- something you just mentioned about metrics changing, can you tell us how your financials are actually going to look different once you become a bank?
Luvleen Sidhu: Yes, absolutely. Let me get started, then Ramsey -- sorry, I call him Ramsey. Bob can continue to answer your second part of your question. So we are thrilled, excited, about becoming a fintech bank. And I think that there's so many benefits for us to go in this direction. And it's the best operating model for the business that we're in. Specifically, we are really great at gatherer or acquirer of low-cost deposits in high volume. And being able to supplement that with an asset-generating strategy and to be able to deploy those deposits provides the opportunity to not only maintain our economics but expand it into the future, which is a very powerful engine. Number two, having a more vertically integrated offering for Banking as a Service, meaning you not only provide the technology but you also provide sponsor bank you could share the charter to the program, is a way more compelling offering for a vast client that wants to work with you because it now is 1 platform, 1 partner, 1 experience, which adds less friction to an already complicated program and also provides better economics for all. So that's another very tangible benefit. Third is, I think that we haven't even talked about yet, which are untapped revenue opportunities, as a bank and having the access to the charter to bin sponsorship opportunities, et cetera. We're really being able to support fintechs and other operating models by enabling payment, lending, debit products, et cetera, our revenue opportunities that are really untapped and now we're opening the door for. And lastly, new products and services, cross-sell opportunities for our customers, being able to offer them a broader suite of products and services that not only provide greater customer lifetime value but also that the customer experience is deeper and more expansive, these are all things that we're really looking forward to and find beneficial in our future model of a fintech bank.
Bob Ramsey: All right. Thanks, Mike. I know -- I'll then jump to -- you had asked how do our financials look different when we become a bank. Simply put, I would say that the real -- one of the driving reasons to do this transaction is so that we could generate greater revenues and increase the profitability of the business as we look to monetize deposits. Most of our income statement would be the same. What I would tell you is that today, we do have a deposit servicing fee revenue item, and that item will go away and will be replaced by net interest income. Today, that deposit servicing fee, if we look at all of 2021, as a percent of deposits came out to be about 2.75%. And it's our expectation that as a bank that, that net interest margin would be somewhere between 3% and 4% so we would generate more revenues. Now it may take a little bit of time to leg into that because in order to generate that margin, we'll have to grow a loan portfolio. And so we may start off a little bit more heavily concentrated in securities and we'll build, but we think that, that short-term transition will be more than justified by the greater earnings down the road. I would also call your attention -- and I know you cover banks as well. But as we grow that loan portfolio, there will be a noncash provision expense to reflect expected losses on that loan portfolio, which is a normal part of a bank income statement. But when all is sort of -- all the dust sort of settles what you will see is greater revenues as we have a wider net interest margin than the servicing fee that we generate today. You will see the addition of some provision expense and the other items on the income statement would be basically the same.
Operator: And your next question comes from the line of Brian Dobson with Chardan Capital Markets.
Brian Dobson: So I guess flipping over to Banking as a Service, what types of partnerships are you seeking or rather what types of companies do you think would be ideal as [indiscernible] for your service? Are you continuing to focus on consumer branded needs?
Luvleen Sidhu: Sure, I'll take this one. So I think that if you reflect back in 2021, it's -- Banking as a Service has really become a buzzword and embedded in finance. And I think that it's kind of looking back and remembering that we signed a contract back in 2016, 2017 with T-Mobile and now finally, years later, coming to the forefront of how powerful the [sort] of business model is. It's astounding. And we're, number one, graceful that we were such a first mover in this space and really had such insight into how powerful this business model can really be for brands and for companies. And sort of number two, it's been so helpful because -- now it's been socialized, it's been normalized. Brands, companies are realizing what a powerful engine it can be for them. And it's almost like instead of us educating potential pipeline about the benefit is coming to us and saying we recognize the benefit how can you potentially help us execute on this. So I wanted to provide that background and insight so people understand how this business model is evolving and how that evolution is actually helping us. Second, the type of -- generically, embedded finance, Banking as a Service can be powerful in many different business models. I think that being able to work with larger sort of companies, brands is better because scale is obviously doing -- these programs take a lot of intricacy, a lot of work to support. And the greater the scale to really balance out sort of some of the higher fixed cost of just getting a program started, you get that return on investment much faster. And so for us, we look at large brands that have access to, hopefully, millions of potential customers where they already have strong loyalty, strong engagement. And there is a natural sort of use case of financial services that can be embedded. Maybe some sort of transaction is already taking place between the customer and the brand and embedded this can be very seamless customer experience and natural in nature. And so those are some of the things that we're looking at. And across the board, I mean, retailers, e-commerce, fintechs, grocers, I mean, so many recurring subscription modeled -- so many different models can really benefit from the Banking-as-a-Service model. So hopefully, that's helpful.
Brian Dobson: That's very helpful. And then I guess, looking at the big picture, roughly 1 in 5 Americans own Bitcoin now. What are your thoughts about servicing that market as it pertains to the future of the fintech in your company?
Luvleen Sidhu: Sorry, I coughed and missed it. Did you say Bitcoin?
Brian Dobson: Yes, I did say Bitcoin. It's a -- I'm not sure but it was about 1 in 5 Americans. What's your thought about servicing that market as it pertains to fintech and all of your company?
Luvleen Sidhu: Yes. So for us, going back to that one slide we've had in the deck for the last maybe 2 quarters where we understand that financial services is kind of moving from an unbundling to a rebundling that's happening over the last 12, 24 months, which really means the expectation in that -- the consumer, number one, wants to have more convenience under one umbrella to be able to access all types of financial services products that really enable them to have a strong financial foundation. And I think that there is no doubt that 1 in 5 American are owning Bitcoin, for example, now. And so as a financial services provider, you kind of have to look at that and be like, hey, how can we provide the best, most compelling customer experience to our customers. And if 20% of Americans own this and they're incorporating this into their financial planning, it's on us to begin to see how we can provide that value and that opportunity to our customers. And so how we think about it is, it is one of many product features that we are looking at being able to round out our product offering over the next 6 to 18 months. And I think that we also have to be mindful of the regulatory environment. And as the regulation sort of comes up to speed with the innovation, making sure that we're respectful of that and mindful of that in terms of anything that we would bring to market. Hope that's helpful.
Brian Dobson: Yes. No, that's great. And then just one final housekeeping question. You mentioned the stimulus tailwind last year. Do you think you can quantify that so we can look at kind of a core apples-to-apples growth for the coming year?
Bob Ramsey: Yes. So I would say there are gives and takes. It certainly was a bit of a tailwind, but it's not significant relative to our overall revenue. So -- we certainly expect to be able to continue to grow revenues off of last year's numbers and grow them materially. So I wouldn't put too much emphasis on that.
Operator: And your next question comes from the line of Chris Sakai with Singular Research.
Chris Sakai: Just had a question about the B2C strategy. Does this mean that you're dropping the workplace banking idea or just sort of rebranding it?
Luvleen Sidhu: Yes, I'll take this. So thanks for bringing this up. So we did sort of rebrand this vertical, you could say, and it's because we didn't want it to be so limiting in nature. I think it's become very clear that sort of mass market wide-spread direct-to-consumer strategy is pretty saturated and that people are looking for a more personalized experience relative to what is important to them, what is unique to them. And so where I do think or where the BMTX thinks that there continues to be an opportunity is in sort of niche market, certain segments where they are currently still potentially being underserved or can be better served by taking a more nuanced, personalized approach. And so to your direct question about the workplace banking and employees, employees will continue to gain an angle that we take within this vertical, so in no way is that going away. But we didn't want to limit it because we think that there's actually opportunities beyond an employee angle and just solving for that pain point. Is that helpful?
Chris Sakai: Yes. Great. And then I had a question about the vendor pay option. Do you think you can market to all universities or just a subset?
Luvleen Sidhu: So definitely...
Bob Ramsey: So definitely -- Yes...
Luvleen Sidhu: Go ahead.
Bob Ramsey: Yes. We'll definitely be marketing it all.
Chris Sakai: Okay. And can you comment on Q1 '22 enrollment trends? How have they been compared to a year ago?
Bob Ramsey: I would tell you that the enrollment numbers are significantly lagged and is very difficult to get reliable statistics even though Q1 is technically over, it's too early to say. I will say that's a broader trend since COVID is that there was some reduction in overall enrollment. I would expect that as things normalize that, that would be moving back in the other direction, but it's just too early to have reliable data.
Operator: And your next question comes from the line of Bill Dezellem with Tieton Capital.
Bill Dezellem: First question is relative to your comment about the nonenrolled and graduated students. Would you talk more about your strategy there, please?
Luvleen Sidhu: Yes. I think that this is a really important area that we, as a company, need to focus on and are committed to focusing on. And so for us, we have an amazing funnel where we get access to a replenished group and a replenished market every single year of new students coming in. And they really see the value of being able to use our account as a low-to-no-fee way for them to get access to their funds and to also be able to segregate their refund from their other potential primary banking relationships elsewhere. And I think the onus on us is now, hey, we're not just at the front of that's funnel, which is, hey, we're a great way for you to get access to your refund and you have this great bank account that's low to no fee, great money management tools, discounts, et cetera, that are really value additive. And I think a lot of these students may be using this account with the thinking that, hey, well, I might have a bank account elsewhere. Well, this is my refund money, let me spend and let me save and let me segregate it here. And I think that what is so important for us to do, and that is what our focus is going to be in the next 6, 12 months, 18 months, is really building out a very cohesive strategy where it's not just bringing in a strong funnel, but engaging in retaining them. And I don't want to downplay the -- how good we have been because if you look at the numbers, you look at the spend, what's the average balances, I mean we're doing well, but we can do a lot better, which is also exciting because it's so much more opportunity for us. And what does that look like? It is about going back to that digital banking platform and continuing to add more products, more features that are unique that are value additive for our students, while they're students. And then once they become nonenrolled or graduated to be able to build on credit products, for example, and being able to be there when they need us with those products and services. So that is something that we recognize that we are committed to and have begun the first -- the important steps to get that started.
Bill Dezellem: So I'm going to take this one step further. If we're hearing you correctly that you currently do not address or have not been highly successful at retaining the graduated and non-enrolled students and that's where you see the opportunity is to have them continue with your account after they've left school. Is that essentially kind of the net of it?
Luvleen Sidhu: What I would like to say is I want to be excited about the future and our opportunity. And I think that we have great opportunity to improve upon engagement and retention. But I also simultaneously said that I want to do full recognition of the account openings that we have as well as the increase in deposits and average balance and the steady spend that we have seen over the years. But yes, there is room for improvement, which to me is so exciting because as a stand-alone, this business is already profitable doing super well. We're growing the college and university relationships substantially. And so there's so much untapped potential here, and we will continue to focus on how we can drive greater engagement and greater retention, which is all icing on the cake from where we are today.
Bill Dezellem: And then a couple of additional questions tied with T-Mobile. Are they now focusing on growing the mobile MONEY product? It seems as though there's something -- it looks like in the numbers, something is changing under the covers.
Luvleen Sidhu: I mean, absolutely. And they are a public company and they make it very clear to us every earnings call, and we agree with them. We have to be really respectful of in what granularity we share about their program. This is their program. But to be able to generically answer your question, the new business segment is a way to look at a proxy for the T-Mobile MONEY performance because it is a big portion of that new business vertical. And I am proud to say that to be able to grow that new business bucket by approximately $1 billion in deposits over the last year. And in addition to that, that new business segment, we talked about how active transactors, which are those who direct deposits to at least 5 transactions a month, are on an annualized basis spending $17,000, and have over $4,000 in average balances in our account. That is amazing, amazing, primary banking behavior proxy. And that is about I think 17%, 18% of that new business portfolio, which is substantial. And so I would say, in addition to we did talk about and are able to share the true name feature rollout in Q1 of this year, the savings account rollout for T-Mobile MONEY in Q1 of this year, I think everything is speaking to the great momentum we have in this program.
Bill Dezellem: And that's a great segue to the -- my last question, which is the T-Mobile savings account, would you just discuss that and when that began and how much traction you're seeing there?
Luvleen Sidhu: Yes. Again, everything T-Mobile related, we need to answer generically, and I think that, that is fair out of respect to our partner. The savings account is doing well. I mean the way you could think about it is, hey, customers want more than a checking account. We're going back from the unbundling to the rebundling,  Customers want more under one umbrella, and the savings account enables that. And so we're very proud and excited to have been able to roll that out together.
Operator: And your next question comes from...
Luvleen Sidhu: [indiscernible] It's the time. I don't know how many more questions we're able to take. But -- how many more are in the queue? I just want to be respectful of time.
Operator: We have 1 question and then 1 follow-up from Mike.
Luvleen Sidhu: Okay.
Operator: So your next question comes from the line of Bob Evans with Pennington Capital.
Bob Evans: Congrats on a nice quarter and great year. Can you elaborate a little bit? I know you've said EBITDA accretive, the First Sound acquisition. Can you comment a little bit more? How should we think about capital structure from a -- just trying to model it out in terms of share count and everything? I mean, I'm kind of getting somewhere between 50% to 100% more shares, is that the right way to think about it? How should we think about it in terms of debt versus equity?
Bob Ramsey: Yes. So I'll take that one, Bob. So look, I think one of the way to think about it is we have flexibility in terms of the timing as we onboard deposits and capital we need to raise. We obviously don't have appetite to raise a lot of capital where the stock sits today, and we have the flexibility to delay or defer and bring the deposits on balance sheet at a more gradual pace. And so that will help us sort of manage the process. Were you going to say something there? Sorry about that -- my...
Bob Evans: No. I'm sorry. No, it's all right.
Operator: And we have a follow-up question from Mike Grondahl with Northland Securities.
Mike Grondahl: Yes. When you talked -- Bob and Luvleen, when you talked about the lending strategy after you acquired the bank, can you provide any more color what type of loans you're considering making? Because the 3%, I think, from Customers Bank goes away at the end of the year. And I'm just trying to think through what type of loans can get you greater than a 3% margin.
Bob Ramsey: Yes. So I'd be happy to take that one, Mike. I will tell you that we are planning now very thoughtfully in a way that we anticipate having a diversified loan portfolio that's not overly concentrated in any one asset class. We certainly are going to begin with first sound banks sort of core competencies. They are a commercial bank, and they've got a commercial loan portfolio. they've got some ability to grow the amount of originations they're doing as part of a larger institution that has a higher legal lending limit. Sooner there will be the natural expansion in their own business, just meaning that they'll have to participate less out and that they could do more if they have the balance sheet capacity today, which we will post transaction close. Additionally, we're looking at ways to augment that. And a big piece of the sort of new loan strategies will be consumer lending. We will look at ways that we can grow consumer lending in, again, a diversified manner. So we're looking at having some unsecured consumer lending, some potentially home improvement type consumer lending, other types of credit card consumer lending, we could have some other secured. So there's going to be a number of ways we will approach consumer lending, but that is going to be one of the tools that helps us bring that blended loan yield up. We are also looking to add resi mortgage and home equity. I mean, it is a diversified portfolio approach. But on the whole, when we look at the banking industry, if you take out kind of the big four banks, the banking industry does have net interest margins that are exceeding 3%.  And as interest rates rise, the expectation is that bank margins will expand as well. certainly with us being an entirely deposit funded balance sheet. We expect to have a low cost of funds, and we'll be able to yield it into a loan mix that probably is a little bit above average because of that consumer weight. And when you put that all together, we expect to have a net interest margin that will blend out between 3% and 4%, arguably to the higher end of that range as we are able to deploy the consumer lending strategy. And so we may not start there, but we expect that we can get the net interest margin in time closer to 4%. The servicing fee that we earn today is approximately 2.75%. So there's a fair amount of lift, if you will, as we go from a 2.75% yield on deposits today to generating something that is between 3% and 4% and closer to 4%.
Mike Grondahl: Got it. And then I guess I thought your deposit servicing fee was 3%. Is it 2.75% now? Did I miss that?
Bob Ramsey: It's -- the fee is 3% gross, but there are a couple of adjustments that run through that line. And so we come out to about a 2.75% net. I think if you look at our income statement and just divide by our average deposits, you can pretty easily calculate it.
Mike Grondahl: Got it. And then lastly, the previous caller asked it a little bit, but it just seems like you're buying the bank in the second half of the year, you're going to need some capital for that. And then whether 6 months or 1.5 years transition, you're -- to bring $2 billion, and by then, it might be $3 billion in deposit. It just seems like that -- how do you want investors to think about the capital needs over the next, call it, 2 years?
Bob Ramsey: Yes. So we are committed to bringing on sufficient capital to support those deposit balances. Now as you say, the deposits on day 1, we don't have to bring them all over. We can bring them all over. We have enough cash on the balance sheet to pay for the transaction closed price, right? The cost of First Sound Bank is $23 million, and we've got over $25 million of cash on the balance sheet today. And we will continue to generate cash and capital at the retained earnings from now until the time of close. Once we close the transaction, we do want to bring a significant amount of those deposits onto our balance sheet and we'll evaluate raising additional capital to support those deposits. So that is a piece of what we plan to do. We believe that the incremental earnings and the return on the capital that we get will support and justify that need for capital and that capital raise. And so we -- we're committed to earning a reasonable return on that incremental capital. So I think that does take us to the top of the hour. And Mike looks like he was the last questioner that we had in queue. I know we did additionally have a few questions online, but I do think that we have answered most of those. I will certainly tell people, if you do have follow-up questions or want to dig into anything in greater detail, I'm certainly accessible.  And we'll be happy to take follow-up questions off-line.
Luvleen Sidhu: Great. Well, thank you so much for joining today, and we really appreciate your continued support and interest in BM Technologies. And I hope you all have a wonderful weekend. Thank you.
Bob Ramsey: Thank you, everyone.
Operator: Thank you. And that concludes today's conference. Thank you all for joining. You may now disconnect.